Operator: Good morning, my name is Michelle and I will be your conference operator today. At this time, I would like to welcome everyone to the Kinross Gold Corporation Q3 2018 Financial Results Conference Call and Webcast. [Operator Instructions]. At this time, I would like to turn the call over to Mr. Tom Elliott, Senior Vice President, Investor Relations and Corporate Development. Mr. Elliott, you may begin your conference.
Thomas Elliott: Thank you and good morning. With us today we have Paul Rollinson, Chief Executive Officer; Tony Giardini, Chief Financial Officer; Lauren Roberts, Chief Operating Officer; and Paul Tomory, Chief Technical Officer. Before we begin, I'd like to bring your attention to the fact that we will be making forward-looking statements during this presentation. For a complete discussion of the risks, uncertainties and assumptions, which may lead to actual financial results and performance being different from estimates contained in our forward-looking information, please refer to Page 2 of this presentation, our news release dated November 7, 2018, the MD&A for the period ended September 30, 2018 and our most recently filed AIF; all of which are available on our website. I'll now turn the call over to Paul.
Paul Rollinson: Thanks, Tom. And good morning and thank you to everyone for joining us today. Before I turn to the third quarter results, I'd like to start off by highlighting the board changes we announced from yesterday's release. John Oliver, who has served as the Chair of our board since 2002 and has been a long-standing member of the board, will be retiring from his role as Chair at year-end. On behalf of the board and Kinross management, I'd like to extend a sincere thank you to John for his leadership and deep commitment to Kinross. I'm also very pleased to report that Catherine McLeod-Seltzer has been appointed the new Independent Chair of Kinross effective January 1. Catherine has extensive and proven leadership in the mining industry and we look forward to her guidance and stewardship as we continue to execute on our strategy. Let's now turn to our results. Overall, our portfolio of mines has delivered solid results in the first 9 months of the year. We saw continued strong showings at most of our operations during the third quarter and I'd like to mention a few highlights. First, Paracatu is having a great year, a result of strong operating performance and improved recoveries. Second, our mines in Nevada and Russia have all continued to deliver consistent operating results throughout the year. And third, Chirano continues to be a good news story for us. We have reduced the cost structure and the mine has delivered good production and cost performance. However, we have also experienced a few operational challenges in the quarter. At Tasiast, there was a strong focus during the third quarter on the commissioning and ramp up of the SAG mill, which I'm pleased to say is now complete. However, there were some challenges on the mining side as we were delayed in accessing a higher grade portion of the ore body. Lauren will speak more to this in a few moments, but the challenges have been addressed and we are now transitioning into better material. With commissioning now complete, the expanded mill running at nameplate capacity and better grades, Tasiast delivered record production in the month of October. Looking forward, these factors should also contribute to a strong fourth quarter for the operation. At Fort Knox, as many of you who toured the site back in July are aware, the pit wall slide that occurred in late March has impacted production and costs, a challenge that we are continuing to work sure. Despite the challenges at Tasiast and Fort Knox, our overall portfolio performance has been strong year-to-date. I'd now like to provide an update on Mauritania where we have continued to advance our discussions with the government. We have a senior team leading our efforts on the ground with oversight from myself and our senior leadership team. The Minister of Petroleum, Energy and Mines has appointed his Director General to facilitate a discussion on behalf of the government. In parallel, the mine has continued to operate uninterrupted as evidenced by the record production month we achieved in October. We are also advancing the project financing. Tony will have more details for you, but I want to highlight that we have now signed mandate letters with both the IFC and EDC and continue to see strong interest from certain commercial banks. In addition, our work to analyze alternative scenarios to incrementally expand throughput above 12,000 tonnes per day is ongoing. I'll now turn to our other development projects. Notably, we commenced production at the Moroshka satellite deposit in October. This high-grade satellite deposit will contribute ore feed to the Kupol mill, which is located approximately 4 kilometers away. In October, I visited the site to celebrate this milestone as well as the 5-year anniversary of Dvoinoye and the 10-year anniversary of Kupol. Also while in Russia. I had a constructive dialog with the highest level of government officials at the annual meeting of the Foreign Investment Advisory Council. I was among 31 global executives from 15 different countries. Interestingly, that combined - the combined total investment in Russia of the FIAC member companies is over $160 billion. Also, we continue to make good progress on our other development projects, which include the Phase W expansion at Round Mountain, which is expected to extend production to 2027 at one of our largest U.S. operations; the Vantage Complex at Bald Mountain, which is well advanced and we'll initiate production in the south area of the large Bald Mountain property; the Gilmore project at Fort Knox, which is a low-cost brownfield expansion that is expected to extend mine life to 2030; Dvoinoye Zone 1, which is another high-grade satellite deposit that we are developing and the La Coipa restart project at Lobo Marte, which are future development opportunities that we are studying to evaluate a potential return to production in Chile. To wrap up, our overall portfolio of mines generated solid results in the first 9 months of the year despite some operational headwinds in the quarter at 2 of our sites. We are on track to meet our 2018 guidance, we are making good progress in advancing our development pipeline and our balance sheet and liquidity remain very strong. I'll now turn the call over to Tony.
Tony Giardini: Thank you, Paul. I'd like to begin with a review of our financial results. We produced 586,000 gold equivalent ounces in the third quarter at a production cost of sales of $777 per ounce. Sales exceeded production largely due to Bald Mountain and Maricunga with 618,000 ounces sold during the quarter. Our operations generated approximately $143 million of adjusted operating cash flow and our adjusted net loss was $48 million or $0.04 per share. For the first 9 months, production was over 1.8 million gold equivalent ounces at a cost of sales of $731 per ounce on sales of approximately 1.9 million ounces. Adjusted operating cash flow was $738 million during the first 9 months and adjusted net earnings were $115 million or $0.09 per share. Capital expenditures were $276 million for the quarter and $770 million for the first 9 months of the year, which is in line with our full year guidance of $1,075,000,000 plus or minus 5%. We have revised our guidance for other operating costs, which we now expect to be approximately $130 million compared with our previous guidance of $100 million. This is mainly the result of tax-related items at Tasiast and costs associated with the pit wall slide at Fort Knox. As Paul mentioned, during the quarter we continued to advance the project financing of approximately $300 million that we are targeting for Tasiast. You will recall that a mandate letter with the International Finance Corporation, a division of the World Bank, was signed last quarter. During Q3 we also signed a mandate letter with Export Development Canada indicating their interest in the financing subject to further due diligence. Meetings with EDC, IFC and their tactical advisors were conducted during the quarter, which was followed by a due diligence site visit in early October. We have also continued to receive interest in the financing from commercial banks. In terms of our balance sheet, our cash position at the end of the quarter reflects the strategic investments we've been making. This has included $495 million of investments in our development projects year-to-date as well as other transactions to add value to our portfolio such as a $254 million power plant acquisition in Brazil. We funded this deal with cash and we continue to consider debt financing. This year we have also bought out JV partners at 2 of our properties consolidating our ownership of projects or land packages where we see significant potential. This includes the Phase 7 deposit at La Coipa, which we now own 100% of and which has advanced to a feasibility study and the Bald Mountain JV zone, which was previously a 50-50 joint venture with Baird which was completed in October. With $2 billion of liquidity and no debt maturities until 2021, we continue to be in a strong financial position and financial strength and discipline continue to be core principles. I'll now turn the call over to Lauren for a review of our operations.
Lauren Roberts: Thank you, Tony. Overall, our portfolio delivered good operating results and we are on track to deliver our full year company-wide guidance targets despite some temporary headwinds at Tasiast and Fort Knox. I'd like to begin with a review of Tasiast's performance during the third quarter. The main focus of the operating team in Q3 was successfully completing commissioning of the Phase 1 expansion. I'm pleased to say that the ramp up of the new SAG mill went extremely well, one of the fastest ramp-ups of a SAG mill this size that I've seen. However, as I mentioned last quarter, the ramp-up in the mining rate and completion of the SAG mill construction were slower than planned and these factors impacted performance in the third quarter. The slower than expected mining ramp-up was largely the result of the rebuild of shovel mainframes, which has been taking place throughout the year and a delay in delivery of new haul trucks. Those new trucks are now in service, the final frame rebuild has been completed and as a result, mining rate has increased. We are now into a higher grade area of the ore body and have averaged grades above 2 grams per ton over the month of October. Combined with the performance of the new mill, which is fully commissioned, Tasiast delivered a new record for monthly production in October of 29,000 ounces. Our Fort Knox mine in Alaska is having a challenging year following the pit wall slide that occurred in the first quarter. While the size of the slide is relatively small, its location is restricting access to higher grade material. This has continued to impact production and cost during the third quarter. In addition, as those of you who attended our mine tour in July can attest, Fort Knox experienced an unseasonable amount of rain during Q3 which created some minor operational and geotechnical challenges that affected mining. We continue to work through these issues and expect performance from Fort Knox in the fourth quarter to be similar to Q3. Let's turn now to some operating highlights from the rest of our portfolio starting with our Nevada mines, both of which have delivered strong consistent results in the first 9 months of the year. At Bald Mountain, areas where we are mining have been outperforming our expectations delivering more ore tonnes with better recoveries. As a result, production year-to-date has increased compared with the same period last year. Bald's performance in 2018 has continued to be strong with cost increase in the third quarter compared with Q2 as a result of higher operating waste. Round Mountain performed well in the third quarter with production mainly in line with the second quarter at a slightly lower cost of sales, a result of lower operating waste and the timing of ounces processed through the mill. There was a wall failure in the southwest corner of the pit. We currently do not expect any significant impact to production or to the Phase W project, but as we do with all of our large open pits, we are monitoring the situation closely. I visited Round Mountain a few weeks ago. The Phase W project is looking great and while I was there, the mine produced its 15th millionth ounce, a rare achievement among gold mines in the world. Our Paracatu mine in Brazil is having a great year. The mine's performance in 2018 reflects strong throughput as a result of increased efficiencies in the mill, improved recoveries, significantly improved rainfall compared to last year, favorable foreign exchange movements and we are starting to see lower power costs as a result of the power plant acquisition we completed during the quarter. Rainfall in October, which is the start of the rainy season, was better than the historical average. Combined with the benefits of our aqua mitigation projects, we do not expect a production curtailment for the balance of the year. Moving to our Russia region, Kupol and Dvoinoye continued to be consistent performers. While production increased slightly compared with Q2, cost of sales was higher quarter-over-quarter mainly due to higher reagent costs, partially offset by favorable foreign exchange movements. As Paul highlighted, we have completed the Moroshka project, which commenced production in October. Development of the twin declines continues to advance as planned. At the Dvoinoye Zone 1 deposit, surface infrastructure is nearly complete and development is advancing as scheduled. We continue to expect production at Zone 1 to commence in mid-2019. Last but not least, our Chirano mine in Ghana has consistently delivered strong performance in the first 9 months of the year. Production and costs were in line with the second quarter and strong mill performance offset slightly lower grade. Over the past year-and-a-half we've made great strides at Chirano, improving mine performance and rightsizing the cost structure. As a result, we've been able to drop our cutoff grade by 0.5 gram per tonne, which is opening up opportunities as we continue exploration activities focused on potential incremental additions to mine life. In summary, we are moving in the right direction at all of our operations. Our overall performance in the first 9 months of the year has been solid and we continue to be on track to meet our company-wide guidance for the year. I'll now turn the call over to Paul Tomory for a brief review of our projects.
Paul Tomory: Thanks, Lauren. It continues to be an active year for our project portfolio and in the past quarter, we've advanced construction for our Nevada projects at Round Mountain and Bald Mountain. We've completed a feasibility study and begun initial construction activity at the Gilmore project in Alaska. We have initiated project studies at La Coipa and Lobo Marte and we continue to advance our exploration program. I'll start with progress at the Phase W project at Round Mountain, which is advancing on schedule and on budget. Construction for the vertical carbon-in-column plant is proceeding well with supporting concrete work nearing completion. We've commenced construction of the new heap leach pad, which is now approximately 20% complete. Construction of project infrastructure including the truck shop, warehouse wash bay, fueling area is also proceeding as planned. Pre-stripping is advancing well and we continue to expect to encounter the initial Phase W ore in the middle part of 2019. We're also making great progress at the Bald Mountain Vantage Complex project, which is also on schedule and on budget. We've begun stripping the Vantage pit and have started stacking on the new heap leach pad using economic, but previously leached material. Initial construction and concrete work has begun for the vertical CIC plant, truck shop and wash bay. We expect to begin commissioning of the new heap leach pad and processing facilities in the first quarter of 2019. Bald additionally has been one of our exploration priority this year and as Tony mentioned, we purchased the remaining 50% of the JV zone at Bald Mountain for a consideration including $15.5 million and a 1.25% NSR. We now own 100% of the Bald Mountain property and continue to be encouraged by the exploration potential at what is the largest private mining land package in the United States. At the Fort Knox Gilmore project, engineering is now essentially complete. Preparations for major construction in the new Barnes Creek heap leach pad including grading is proceeding well. Drilling and expansion of the dewatering system has begun as we prepare to start stripping in the middle part of next year. In addition to our execution projects, we're also continuing to look at additional future development opportunities that exist within our portfolio, particularly at the La Coipa restart and Lobo Marte projects in Chile. We are evaluating both projects for a potential return to production in the country as we assess opportunities to share resources and leverage synergies between the projects, which are located about 80 kilometers apart. The La Coipa feasibility study and the Lobo Marte scoping study are both on schedule to be completed in the second half of '19 and the first half of 2019, respectively. In addition at La Coipa, we received the final sectoral permit in August and we are now fully permitted for the project. In summary, we're making good progress on all our projects and we look forward to updating you on a number of important milestones in February. And with that, I'll turn the call back over to Paul.
Paul Rollinson: Thank you, Paul. To wrap up, I'd just reiterate that our portfolio of 8 operating mines delivered solid results in the first 9 months of the year and we are on track to meet our 2018 guidance. We continue to advance our numerous development projects and we remain in a strong financial position. Operator, Michelle. I'd now like to open up for questions.
Operator: [Operator Instructions]. Your first question comes from Fahad Tariq from Credit Suisse.
Fahad Tariq: On Fort Knox, you mentioned ongoing geotechnical issues perhaps made worse by the rainfall in the quarter and then the expectation that Q4 will be similar to Q3. What is the timeline to return to more normal grades and throughput, maybe just some more color on what's being done to address some of the geotechnical issues and the pit wall slide issues there?
Lauren Roberts: This is Lauren. I just - I guess I'd start with a couple of things. We had a very wet Q3. We got like 13 inches of rain, which is half of the annual average in a very short period of time and as you would appreciate, that complicates things from a geotechnical perspective. It takes time to draw water out of the structures. And that heavy rain period reactivated a small historic area where we've had some problems in the pit. So it's not the slide that happened in Q1, it's a small area that moved. But like the slide that happened in Q1, we have a very restricted mining area from which we're accessing our ore right now. So, any little hiccup in that area has an impact. And consequently, we expect Q4 to look much like Q3. I would remind you that when we first had the incident in Q1 with the larger failure, we discussed that we were going to have a difficult 2018 relative to the TR and that we expected 2019 to be roughly flush and 2020 to recover the ounces that have been deferred because of the high wall movement. It is a deferral. It's not a condemnation of ounces because these aren't final walls. So, we are anticipating that we start to see better mill grades in 2019. It's going to take us some time to work into those grades and we are right now looking at the mine plan to optimize the production sequence to see if we can pull that forward quicker. But again I would expect 2019 to be roughly similar to the TR and to recover the ounces in about 2020.
Fahad Tariq: Okay. And just one more from me. On Tasiast Phase 2, last - I think last time you guys spoke about it, you were looking at potential debottlenecking efforts. Any progress on finding ways to increase the throughput now that Phase 2 in its original form has been paused? How is that - how is that bottlenecking effort progressing?
Paul Rollinson: I'll just - maybe I'll take the lead, Fahad, and then hand off to Paul Tomory. The key here is we never sit still on this stuff. We're always looking at optimization and trade-offs. It's - as you would expect, it's all about capital and what we can do and how we might increase efficiency with a lower capital number. Paul, maybe you can give a couple examples, the kind of things we think about when we - when we look at these alternatives.
Paul Tomory: So like we mentioned last quarter, we're thinking of staging the Phase 2 project on how we get to 30,000 tonnes a day with an interim step and one of the big questions is do we put the Bald mill in at the beginning and there is an option, a first step that doesn't involve the Bald mill. So, that's one example of how we're looking at it. Another one is on the water supply system, are there more efficient ways to leverage what we have as an interim step to get up to the ultimate requirements. So in short, we are making really good progress and then we're putting better definition on the potential capital costs and the potential elements of scope that would be involved in the first stage of Phase 2 as well as the subsequent stage to get to 30,000 tonnes.
Operator: Your next question will come from Mike Parkin from National Bank.
Michael Parkin: With Tasiast, like the OpEx jumped up a fair bit there in millions of dollars versus the run rate in 2017. Is that - should we see that easing a little bit? Is that - was a bit of impacted by the commissioning of the SAG?
Lauren Roberts: Yes, Mike, I think that's a fair assessment. There's a lot of activity that has to go on in a commissioning and as you would appreciate, occasionally things don't go quite way you expect and you incur additional costs associated with for instance cleanup, turning things on, shutting them down, ramp-up, ramp down affecting recovery. But I want to emphasize that those issues are well and truly behind us at this point. The mill is running brilliantly. The projects team delivered a wonderful product to ops and the ramp-up went extremely well and we're just nailing it in that plant right now. So, we should expect things to improve in Q4.
Michael Parkin: Okay. It sounds like you had a bit of an influx of typical kind of contractors on site and those are largely demobilized now.
Lauren Roberts: Yes. I mean we have been in the process of demobilizing the construction contractors. It would be more things like the local maintenance guys and other things that you use for clean up and buttoning up little odds and ends. Just operational inefficiencies associated with the commissioning is how I would look at that.
Michael Parkin: Okay. And you mentioned earlier there that you're north of 2 grams. Is that fair to kind of assume for a grade for the fourth quarter, something north of the 2-gram mark?
Lauren Roberts: Yes, I think that's very fair. You'll recall that we had some delays in the ramp-up of the mining rate and that put us about a month behind where we expected to be spatially in the pit. And so now we are entering the higher grade zone, Q3 for instance averaged about 1.7 grams per tonne. October was north of 2 grams and November and December are looking to be better than October. So, I think the combination of the mill hitting its mark and us being where we need to be in the - in the pit spatially should set us up well for Q4.
Michael Parkin: Okay. And then on mining rates there, can you give us a sense of where they're tracking in October and where you expect to come up now that the shovel frames are rebuilt and you've got the additional trucks in and constructed and operating now?
Lauren Roberts: That's correct. So, the shovel frame rebuilds are all complete and we have a spare frame now, a swing frame. So, I don't anticipate that being difficult for us in the future. The trucks are all up and commissioned and we are squared up in the bottom of the pit. That's important because we were advancing a phase down to the bottom of the pit. We have more space to work now. So, the combination of those things has really improved mining efficiency and we're not having any difficulty delivering the required tonnage. So, we're looking forward to next year. Right now we're putting the finishing touches on a mine plan, but circa 80 million tonnes, 85 million tonnes to move next year and we have no concerns about doing that. We moved about 7 million tonnes in October for reference.
Michael Parkin: And then on the other expenses, you mentioned it's gone up by $30 million. Can you give us a sense of what portion of that was related to Fort Knox?
Tony Giardini: Mike, it's Tony. I can handle that. So $21 million, that was the impact and what we did was we really looked at the gold price at the end of the quarter, which was around $11.87 and used that as the basis for assessing the net realizable value of the material that was on the heaps and the adjustment that came through was related to that. And we booked it through other costs simply because of what Lauren had indicated earlier with respect to what's happening at Fort Knox. Although we've been putting material through the mill and on the heap, you'll see from the table that's attached to the press release that the grades of that material is quite a bit lower than what we typically see going through the mill and on the heaps and we would have otherwise had access to higher grade material. And as a result, we felt that it was appropriate to adjust it out to other operating costs. And given that we'll likely experience this for the next couple of quarters, we would expect to do the same. But I can't at this point quantify the impact because we've seen slightly higher gold price so it will be somewhat less hopefully than what we saw in Q3.
Michael Parkin: Okay. And sorry, is that all? Can you - is that - any of that non-cash expense?
Tony Giardini: It all non-cash. It's all non-cash now, but essentially the calculation is what's our cost to complete against the spot price. And as I said, the spot price at the date we did the calculation was $11.87. So assuming that we're correct on the cost to complete and we're looking at current spot prices, we would have had an impact of roughly $60 per ounce just based on the spot price difference that what we have today.
Michael Parkin: Okay. And just maybe one last question. You mentioned Chirano, you're lowering your cutoff grade. Is that something that we could read into in terms of a potential reserve growth being impacted or being the benefit when we come into Q1?
Lauren Roberts: Yes, Mike. Thank you for noticing that. We're really, really proud of the work that the team has done at Chirano. We have a new GM in there and he's very aggressively managing that site and we are anticipating sustained improvement of this nature. And to your specific question, yes, we believe it has some opportunity for us in the future and I think Paul would like to comment on that.
Paul Tomory: Right. So, the lowering of the cutoff rate at Chirano was instrumental to potential reserve extension because we have a fair amount of low grade stockpile and open pit material that if - with the lowering of the cutoff grade and some exploration success in the underground portions, we can continue to run a full mill. So, we've had a great year in exploration at Chirano and we are just going through the calculations now as to the quantum of the reserve and resource addition at year-end, of which there will be some. And we expect at least a modest lengthening of mine life there with more potential down the road.
Operator: Your next question will come from David Haughton from CIBC.
David Haughton: Perhaps for Paul. It's encouraging to see at least you've now got a process with the Mauritanian government with regards to moving your standoff forward. Previously you had mentioned that you'd put a proposal to the government. I'm just wondering has that been considered or are you looking at another basis of negotiation going forward?
Paul Rollinson: Yes, I don't know if I'd use the word standoff. Just I want to context here. I think we should all take a step back and look at the situation. Again I'd reiterate, we've been operating in this country for 8 years essentially without any incident. Things time - from time to time things will arise in any jurisdiction you operate and you work through it. And so in context, this is how I look at this situation. We are in a discussion. We've had meetings. We've actually got meetings scheduled for next week, but it's a discussion. I personally believe there's a strong alignment of interest here. Obviously we would like to proceed with an expansion for all those logical reasons about optimizing the ore body and enhancing cash flows and lowering costs and all those sorts of things. I also really believe that the company wants to see this expansion and everything that it can bring to the country. Mauritania, as you know, is a country that is actively trying to attract foreign investment. Right now their focus is very much on the offshore oil and gas and a number of licenses have been awarded. We're also working, as you know, very closely with I would say enthusiastic multilateral agencies. We just signed up the EDC as well as the IFC and you know there's a MIGA in place and everyone's aligned to get to a successful scenario where there's an expansion. So, I think - and as well I think Mauritania wants to be a country that is IFC endorsed through the project finance - project financing process. So look, I think it's a situation where we just - we don't want to rush. We want - the mine is completely unaffected. We just had a Phase 1 complex project essentially on time and on budget. We've just ramped up. We've had a record production. The site is firing on all cylinders and we'll just continue the discussion and I'm confident we'll get to a successful resolution.
David Haughton: Okay. So, move it forward slowly and patiently.
Paul Rollinson: Exactly.
David Haughton: Whilst we're still on Tasiast, maybe over to Lauren if that's okay with you, Paul. You'd mentioned 85 million tonnes to be moved next year. The tech report was quite a bit higher than that and I presume that there is some equipment availability that's kind of holding you back a little bit. And also on the grade for next year, we've been looking for something very much knocking on the door of high 2 grams and wondering how we should recalibrate our thoughts into 2019 given what we're seeing so far?
Paul Tomory: David, it's Paul here. So the tech report had 110 million tonnes for '19 so you're quite correct to point that out and we're going to do 85 million tonnes next year. That's driven really by the deferral in Phase 2 allows us to pull back a little bit on the stripping versus what was in the technical report. So, that's a pretty simple answer to that one. The total tonnages in the life of mine plan remain unchanged. In 2019 we do expect to get into better grades, Just to step back here on what Tasiast is. It's not a homogeneous ore body in that we expect the same grade, same kind of material year in, year out. We are just now getting into a high-grade portion of the Granodiorite, the GDI, and Tasiast in its mine life will have high-grade years, low-grade years depending on where we are in the mine plan. You're right in the technical report we had grades around 2.7, 2.8 for the year. Now it will be a little bit lower in 2019 as a result of a couple of things. One is the delay in the mining ramp-up that Lauren talked about and the commensurate reduction in high-grade material. The other is we start to focus on grade control practices and dilution management because as we get into high-grade GDIs, you could appreciate in some of those edge zones, we're focused on just managing waste creeping into the ore blocks. So it remains a focus of activities, but we definitely expect to realize fairly significantly higher grades as we get into the next couple of months and into the early part of next year.
David Haughton: Okay. So, bit of a fine-tune on the plan, but it's more a deferral than anything else.
Paul Tomory: Yes. On the tonnes, it's definitely a deferral that lines up with where we are right now in the Phase 2 project deferral.
David Haughton: Okay. Whilst I've got you just looking at Bald Mountain, the stacking rates there are very robust, over 70,000 tonnes a day. And just wondering what we should be thinking going forward because the offset there is what we can see at current reserve life. How should we be thinking about the stacking rates going forward and the potential to extend life at Bald?
Lauren Roberts: It's Lauren. Yes, you're quite right. As you'll recall, Bald is an assemblage of many smaller pits. So depending on what combination of pits we're mining and where we are in the stripping process and in the ore release, the stacking rate can vary considerably over time. I would say right now we've had a very good run coming out of Poker, it's delivered more tonnes and better recoveries than we expected, So, that's driving what you're seeing as a high stacking rate right now. There'll be other periods in time when we're mainly stripping and the stacking rates will go down. So overall will settle into something that looks kind of circa 18 million tonnes to 20 million tonnes a year as a stacking rate, but there will be considerable variability quarter-to-quarter.
Paul Tomory: And also jump in there on the exploration potential, you referred to that in your question. Bald remains one of our focus activities for exploration. In terms of total meters drilled, it's second only to our Russian assets and we're targeting a healthy reserve and resource add at year-end. Again like at Chirano, we're going through the calculations right now, but I would expect a number north of 0.5 million ounces at year-end from Bald in terms of resource adds.
David Haughton: Given the nature of the ore body in the scattered pits et cetera, it does look as though that's a pretty clear potential. And last...
Lauren Roberts: David, just one other thing I'd jump in on there. As we look at our 2019 exploration program, we now have the Central zone. So, we have the entire land package and we're starting to treat it as a - we have begun starting to treat it as an integrated exploration package and this has brought forward a number of new priority targets and we continue to remain quite optimistic about the potential at Bald.
David Haughton: Last question from me perhaps for Tony this time. Noticed that you had the $21 million of the pit wall related costs as an abnormal item. Is there potential for any of that to be recouped through business interruption insurance.
Tony Giardini: We haven't looked at it. I think at the end of the day, it's probably unlikely. I think really the classification was really driven by the change in mine plan and the fact that we continue to put both material through the mill that would have otherwise gone in the heap. So, I think the answer to your question is no, we're not pursuing any insurance claim.
Operator: Your next question will come from Greg Barnes from TD Securities.
Greg Barnes: Paul Rollinson or Tomory, if you got the situation result with the Mauritanian government tomorrow, would Phase 2 proceed the way you previously planned or are you making changes given these studies that you're doing?
Paul Rollinson: That's a good question, Greg. We certainly have - we certainly could go immediately back to the Phase 2 that we've paused and in fact we've maintained the stripping rates that support that. But again, we are looking at some optimizations and trade off so I can't - I don't want to speculate at this point, but I think we are always looking at scenario analysis and optimization. And 1 step at a time, let's get our conversation finished and then we'll be back to you and if there was a change, we'd explain why we think it's better. Anything to add there, Paul?
Paul Tomory: Only that as we go through additional optimization engineering, we continue to look for ways of reducing the capital spend on that Phase 2 and without getting into too much detail, we are finding savings. So we like what we're seeing in this pause, which has allowed us to optimize the CapEx and also apply a lot of lessons learned from Phase 1 as there were many. What did we do well, what could we have done better and how would that translate into a more capital efficient approach. So as Paul said, it's too early to get into the details on that, but definitely we're looking at that path to 30,000 tonnes and how we get there.
Greg Barnes: It sounds like it would be a more phased approach than one big bang.
Paul Tomory: Yes, it certainly could be. Either option remains out there, but the breaking Phase 2 up into 2A, 2B as we're calling it certainly has its merits.
Greg Barnes: Okay. Paul Rollinson, you're 7 months into this process with the Mauritanian government now. We really don't know any details or any ballpark ideas of what the government is looking for. Can you give us some color where this is setting?
Paul Rollinson: Well, again I think it's context, Greg. I can't - I don't want to get into the details today because it is a confidential discussion between us and the government. But I think the context matters. The mine continues to operate. We've had no issues, there's no escalation, there's been no demands. It's really a request for a discussion. I come back to my alignment of interests point. The government to be fair was highly preoccupied really right through to the end of September where the elections took place and there was a reset on the cabinet and subsequent to that preoccupation, we're back and forth and we're talking. Our multilateral agencies like the IFC of being in country, Tony maybe can elaborate. They're in country talking to the government, doing their due diligence, everything is proceeding. But at the same time, we're disciplined and we got a request to have a conversation. We're going to just pause things until we know exactly where these guys are coming from. We've also pointed out we have a mining convention. That's a legal agreement that spells out our fiscal terms. There's been no suggestion of reopening that. So we're marching on, we're producing gold and we'll have our conversation and as I said, I think again that alignment of interest will get us to the right place. This is a country that wants to attract foreign investment and they know the world is looking at us.
Greg Barnes: This can't go on indefinitely, Paul. I know you got a process in place, there must be some timeframe.
Paul Rollinson: Look, it's a priority. It's a priority for us, Greg, but I can't sit here today and say we're going to be done by day X and we're not in a point where we - at this point, we're not willing to draw any lines in the sand.
Operator: [Operator Instructions]. Your next question comes from Carey MacRury from Canaccord.
Carey MacRury: Just another couple of questions on Tasiast. The government originally was asking you to propose something to them. Is it still at that level where you're something or is it more of a back and forth dialog at this point?
Paul Rollinson: It's more of a - this is really following a process here that they've asked. As I indicated on the opening remarks, the Minister of Petroleum and Mines has designated his Director General of Mines and we're meeting with him and we're having a conversation. And so it's not a high pressure escalating situation, it's a conversation. We've got a very senior team in country and our global GR team and we're going to just continue to have this discussion. I don't - again I don't want to speculate on outcomes, but there's certainly be no impact at site. It's situation as normal.
Carey MacRury: And then maybe secondly, Tasiast has been - obviously you're getting through the Phase 1 CapEx. Assuming that Phase 2 is sort of definitely on the shelf, how should we think about sustaining capital into 2019 assuming a steady state 12,000 tonne a day operation?
Paul Rollinson: I think again it's - it's a good question. Right now as I indicated, we're - we have the Phase 12, it's firing on all cylinders, but we are still keeping the stripping rates - we are still stripping at a rate that supports the Phase 2. So part of the answer to the question will be is if for some reason we decided to just stick with the Phase 1 whether or not we choose to gear back on the stripping. I think that's really the only hinge point that I would I think is relevant on 2019. Right now we're in the middle of our budgeting process and we will obviously put the pin in all of this when we come out with our guidance in the New Year.
Paul Tomory: But the technical report for Tasiast through 2019 was still a 12,000 tonnes mill and the numbers in there of sustaining CapEx are pretty good, but with a caveat and that is not sustaining because we're treating it as growth CapEx with a lower - slightly lower mining rate than the TR. But the remainder of the sustaining is in line with the TR.
Carey MacRury: And the stripping rate you'd need to maintain the 12,000 tonnes?
Paul Tomory: Well, we've talked about it earlier. So, the technical report had 110 million tonnes for 2019 and the budget as Lauren said is around 80 million tonnes to 85 million tonnes. We're still finalizing the budget. So, there is a slight slowdown in the stripping and that's essentially to align with the pause in the Phase 2. And so if your question is what stripping is required to maintain the 12,000 tonnes, it's something a little bit less than the 80 million tonnes, 85 million tonnes; but not an awful lot less.
Carey MacRury: Okay. And then maybe one last question. I know it's obviously early days on Phase 1. Prior to Phase 1, the mill was running 10% above nameplate. Do you see opportunities to do the same sort of outperformance with what you have in place or is it too early to tell?
Lauren Roberts: Carey, this is Lauren. As I said earlier, we're really happy with the performance of the mill. It's an excellent product from the projects team. We've ramped it up very quickly. But we've only been running it really at nameplate here for about a month and we need a bit of run time under our belt before we can really predict where we'll finally land on throughput through that system. But as we do with all of our big mills, we will maximize the benefit we get from that capital investment and that is done through maximizing the throughput and maximizing the cash flow generation that comes out of it. So while it's early days, I would say we're optimistic and we'll do everything we can to push that throughput up as far as we can.
Paul Tomory: Just another point on that and I think it's an important one on how we looked at the studies on throughput for Tasiast both in Phase 1 and Phase 2 and how we continue to look at it. As we alluded to when we were at site with a group of several of you, we do believe that there is latent throughput capacity to expand throughput in both the 12 and the 30. However, we did that deliberately so that we can get to a better understanding of managing grade control dilution and feed coming out of the pit. So, I wouldn't run to the bank with a higher number on throughput even if we achieve it because we want to keep that in the back pocket in the event that we have dilution concerns. But like I said earlier, we are focused on dilution and we're focused on grade control and we believe that the overall business case on risks and opportunities remain balanced there.
Carey MacRury: And maybe one final question on Paracatu, costs came down pretty well there this quarter. I know the power plant was only partially in there. Do you have a sense of what that cost would have looked like if you had the power plant for the whole quarter and is that kind of going towards what you expected?
Tony Giardini: Yes, Carey, I can take that. In fact if you look at our financial statements, we have a pro forma number of earnings for the full 9 months had we had the power plants from the beginning of the year and it's $22 million. So effectively it assumed that we would have realized based on the economic analysis about $60 per ounce so far year-to-date. The life of mine number that we based our acquisition on was $80 per ounce and there's nothing that we've seen so far that would suggest that that is not going to be the case. But I would just point out that it's early days, we really just took control of those power plants in the third quarter and so we'll start to have a better sense obviously in the fourth quarter in terms of what the contribution is, but so far so good. I think the other thing at Paracatu that we benefited from is we've been doing a very extensive excellence program, which is really focused on continuous improvement options which is starting to bear fruit and we're also getting some benefit from the weaker currency.
Operator: The next question comes from Tanya Jakusconek from Scotia Bank.
Tanya Jakusconek: I have a technical question and then a financial question for Tony. So, maybe just on the technical first. Actually it's 3 technical question. Maybe Lauren, can you chat a little bit about Round Mountain and the slide there and how much has actually gone into the pit that we need to move?
Thomas Elliott: So Tanya, the failure is in the southwest corner of the pit. It's not an area that we're actively mining. It is scheduled for mining with Phase W and so what will happen as we do the strip for Phase W and it advances in that direction, we'll mine through the failure and clean it all up at that time. It has had some impact on decommissioned infrastructure. That infrastructure was decommissioned in anticipation of the Phase W expansion and the schedule for demolition in Q1 of next year. So right now because of where it's located, there is no material effect expected from the slide either in this year's production or next and it should not have an effect on Phase W assuming that it doesn't move beyond where it is now. And it has slowed down dramatically here in the last week or so and it looks like it's achieving relatively stable configurations. So at the moment, I would say not as big cause for concern; but like all of our big pits, we're monitoring it very closely.
Tanya Jakusconek: Yes. I'm just wondering if it was part of waste that needed to be removed anyway or is this additional that we're going to have to take on?
Lauren Roberts: Good question. No, it's material that was going to get moved anyway.
Tanya Jakusconek: Okay. So, it's not part of the...
Lauren Roberts: Yes. It's - and a lot of it was alluvium above the rock, which is all free digging and a little bit of it - there is a little bit of rock movement at the base, which now we don't have to blast. So take that for what it's worth, but we'll have a little bit of cost savings on the excavation side, maybe a little bit of offset on the haulage side.
Tanya Jakusconek: Okay. So, I don't have to add any more material move to that. Okay.
Lauren Roberts: No, I don't think so.
Tanya Jakusconek: Okay. And then just maybe on Bald Mountain, I mean that - I know there is a variability as you mentioned quarter-to-quarter, Lauren, on where you are in the pits and which ones you're deriving from. It looks like Bald Mountain is doing quite well this year. Is there any guidance you can give us in terms of do we start to see the slowdown this year Q4 and into next year? It's just really hard not knowing where the ore is coming from all these pits.
Lauren Roberts: Right. So, I think what's going to happen this year is we're going to be at the high-end of guidance that you would have seen previously out Bald for this calendar year. And as we've mentioned before, we're still working on our budgets so it's a little premature to say too much with respect to 2019, but it should be a pretty similar year I expect.
Tanya Jakusconek: Okay. And then maybe on Tasiast and I don't know if Paul wants to jump in here. I mean I'm following up really on Greg's question, which is we're 7 months into this and don't really have much clarity and we appreciate that you're looking at having to resolve this with the government and then looking at Phase 2A, 2B. But from 35,000 feet for all of us just trying to understand, is it safe to assume that every month of delay - and I know you're still doing stripping for Phase 2, but every month delay really is a month of delay in this overall project, however we want to model it out?
Paul Rollinson: Not exactly. and I'll let Tomory jump in here, but you have just - I guess the differences there - since we hit the pause button, you have to then add a remob to that delay. So, there will be some time and cost to remobilizing.
Paul Tomory: So to be a bit more specific on that, we are now 7 months into it. That roughly equates to about a one-year delay with respect to what was in the technical report on a ramp-up. So if you're modeling it, I wouldn't model 7 month, I'd model a one-year delay. The other point is because we continue to strip at a rate not quite at the TR, but still in preparation for Phase 2, it likely means that the mining rate may never need to get up to what was in the TR to sustain fees. But of course that will be determined by the extent of the pause. So, in some ways we're taking a little bit of the risk of the mine plan right now by maintaining a 85 million tonne year stripping rate.
Tanya Jakusconek: Okay. So we should just think of that ramp-up really - meet demob and ramp up to where demob and restart whatever it - as about a 5-month period. Is that safe, Paul, to assume that?
Paul Tomory: Yes. I mean with respect to what's in the TR, the easiest way to model it is just to move - slide it out 1 year and then smooth out the mining rate between now and then to get to the same total rough tonnes in the intervening period.
Tanya Jakusconek: Okay.
Paul Tomory: For example in '19, we're probably going to mine 25 million less than the TR and that gets spread over the added year.
Tanya Jakusconek: Yes, okay. And then just maybe Tony for you, if I could. Closing of the project financing at Tasiast, I guess we didn't really see the closing. But are we still looking for the first half of 2019?
Tony Giardini: Yes, it's a good question, Tanya. Thanks. So I think Paul had mentioned - we both mentioned actually the process with IFC and EDC. And they were onsite and their site review is really focused on environmental, social and that went extremely well. So, we're very pleased with how that's moved forward. The next step in the process is really about the review of the financial model and we're finalizing what we're going to be providing to them so should be receiving that shortly. Once they have that review, we get into the detailed discussion of the term sheet and effectively the financing agreement. And then what they would have from an IFC point of view and given that EDC will be in there as well as possibly commercial banks, IFC will have a 60-day period where - basically a comment period. So, that probably takes us towards the latter part of Q1 or early Q2 in terms of timing. And so the real gating item is going to be the review of the economic model, having those discussions with IFC and ensuring that they're comfortable with the parameters that we have in place and then it's really going to be that comment period that will need to be factored in. But I think we're still pretty comfortable with the process. And I think to highlight a point that Paul had made, notwithstanding the discussions that are commencing with the government, the feedback that we had from the agencies was that they certainly have good meetings with the government and there continues to be a focus on their part to highlight the benefits to Mauritania of Phase 2 going forward.
Tanya Jakusconek: Bur from an overall process if we get through that 60-day comment period by the end of you said Q1 and early Q2, technically we could close this by the end of Q2.
Tony Giardini: It would be sometime in Q2, yes.
Tanya Jakusconek: Yes, okay. And then just, Tony, on the capital expenditures. I mean you reiterated guidance there and we just want to try and understand if this is conservative or what's coming up in Q4 big ticket items that we need to be aware of?
Tony Giardini: Right. So right now cumulative capital has been $770 million year-to-date. If we look at the guidance, it was $1,075 million so $305 million would take you to the guidance number, it was plus or minus 5%. There's - last year we had a fairly big spend in the fourth quarter, which is in out of line with that $305 million number. So, that's why we sort of kept it at guidance in terms of not adjusting it lower. But I would say we're comfortable with the $1,075 million number as a guidance number at this point.
Tanya Jakusconek: Okay. And in terms of big ticket items that we should be aware of.
Tony Giardini: Not really. I think we've already spent some money on Phase 2, that was primarily the power plant acquisitions that have been locked in prior to that. So, there'll be some settlement of contracts that will be coming in in Phase 2. So cumulatively on Phase 2, we spent roughly $95 million approximately. But I don't anticipate any big ticket items per se, it's really going to be just what we've highlighted previously.
Operator: At this time, I have no further questions in queue. I turn the call back over to the presenters for closing remarks.
Paul Rollinson: Thank you, Michelle. Thanks everyone for joining us today and we look forward to speaking with you in the future. Thank you.
Operator: This will conclude today's conference call. You may now disconnect.